Operator: Good afternoon, and welcome to the Camden Property Trust fourth quarter 2009 earnings conference call. All participants will be in listen-only mode. (Operator instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator instructions) Please note this event is being recorded. I would now like to turn the conference over to Kim Callahan. Please go ahead, ma’am.
Kim Callahan: Good morning and thank you for joining Camden’s fourth quarter 2009 earnings conference call. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and belief. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC and we encourage you to review them. As a reminder, Camden’s complete fourth quarter 2009 earnings release is available in the Investor Relations section of our Web site at camdenliving.com and it includes reconciliations to non-GAAP financial measures, which will be discussed on this call. Joining me today are Ric Campo, Camden’s Chairman and Chief Executive Officer, Keith Oden, President and Dennis Steen, Chief Financial Officer. Our call today is scheduled for one hour so we ask that you limit your questions to one with one follow-up and rejoin the queue if you have additional questions. If we are unable to speak with everyone in the queue today we would be happy to respond to additional questions by phone or e-mail after the call concludes. At this time, I will turn the call over to Ric Campo.
Ric Campo: Good morning in some places and good afternoon in others. Our pre-conference country music is in honor of the upcoming Houston Livestock Show and Rodeo, and as Vern Gosdin sings in the last song “This Ain’t Our First Rodeo.” As in any rodeo, there are always bumps and bruise along the way. As we continue to navigate the great recession, I am very happy with our team’s performance so far. Since the beginning of the recession we have completed 1.6 billion in capital market transactions and strengthened our balance sheet and improved our liquidity. During 2009, we closed the year at the midpoint of our original same-store guidance and produced a sector leading 45% total shareholder return. 2010 will be a continuation of the market challenges that we face in 2009. We believe that we are a little more than halfway through this down cycle. The multi-family fundamentals will lag current economic conditions by about six months. With job losses abating towards the end of 2009, we expect the fundamentals will improve in the second half of 2010. With limited supply, positive demographics, and the homeownership rate continuing to decline, we expect a robust recovery in fundamentals beginning in 2011. During the quarter, we pushed back the potential starts on eight development properties into mid-2011 and beyond. In connection with this action, we took an $85.6 million impairment charge in the fourth quarter. In addition, we stopped capitalizing costs associated with these projects totaling $0.11 per share which represents the bulk of the difference in our 2010 guidance versus first call consensus. New development is a core competency for Camden. We have five communities in our development pipeline, excluding the eight delayed properties that could actually start in late 2010 for delivery in what could be very robust conditions in 2012. I want to thank all of our Camden team members for their hard work and dedication to providing living excellence to our customers during these difficult times. At this point, I will turn the call over to Keith Oden.
Keith Oden: Thanks, Ric. Consistent with prior years, I am going to use my time on today’s call to review the market conditions we expect to encounter in our largest markets in 2010. I will address the markets in the order of best to worst by assigning a letter grade to each one as well as our view as to whether we believe that market is likely to be improving, stable, or declining in the year ahead. Following a market overview, I will provide some additional details of our fourth quarter operations and our 2010 same property guidance. Providing guidance in today’s business climate is fraught with peril. Last year, our guidance assumed a nasty recession with a loss of 2 million jobs nationally. As it turned out, we lost that many jobs in the first quarter on our way to 5 million jobs lost for the year. Nonetheless, to prepare budgets and forecasts, one has to have a view even if that view is somewhat murky. Our view for 2010 is that we will have a very modest back-end loaded recovery which produces roughly 700,000 jobs nationally or a 1.5% increase in employment. This translates to approximately 145,000 net new jobs in Camden’s markets. Not great, but it beats the heck out of the 1 million jobs lost in our markets in 2009. So here we go. Starting with an overview of Camden’s markets, we begin in Washington, D.C. Metro. With a rating of ‘B’ and an improving outlook D.C. Metro is our highest rated market for 2010. Our tax dollars will be hard at work creating 17,000 new jobs and new completions will only be in the 2,500 range. This should create an opportunity for return to rental growth in 2010 and position D.C. Metro as our top performing market during the year. Denver should follow with relatively strong 2009 performance as our second best market in 2010. We expect to see a very modest decline in revenue this year, roughly the same as we had in 2009. 10,000 new jobs will be sufficient to offset 2,400 completions and maintain Denver as a ‘B’ market with a stable outlook. Houston and Dallas both rank as ‘B’ markets but with declining outlooks. Both markets are still struggling to absorb roughly 15,000 completions in 2009 with another estimated 5,000 completions in each market in 2010. Rental occupancies, rental rates and occupancies will continue to be under pressure. Dallas has a better jobs outlook with 40,000 growth versus projected Houston growth of 10,000 new jobs. The Texas markets were among the last to succumb to the great recession, which allowed us to maintain our revenues as essentially flat in 2009. 2010 will be a different story as revenues will likely fall by 4% in both Houston and Dallas this year. Next in line would be southeast Florida and Orlando, both of which we rate at B- with a stable outlook. Southeast Florida will likely lose an additional 5,600 jobs but with market wide occupancy rates strong in the mid-90s and fewer than 2,000 completions, we do see some stability in Southeast Florida for 2010, which will produce less revenue decline than in 2009. Orlando should add 7,000 jobs, complete 2,000 new apartments in 2010, which should allow us to limit the revenue decline to roughly the same as last year and thus the B- stable rating in both markets. Southern California should see some signs of stability in 2010 while the operating environment remains very difficult with 12% unemployment, we do expect to see modest job growth roughly 7,000 and completions across the whole region of 6,000, which should be manageable. Our rating for Southern California is C+ with a stable outlook. Austin gets a C rating with an improving outlook. 10,000 new jobs are sufficient to clean up the 2000 completions and limit further revenue declines to the 2% range for 2010, roughly half of the revenue decline we saw in 2009. Raleigh also rates a C with an improving outlook. 5,000 new jobs and a mere 1,400 completions will allow for occupancy rates to pick up, setting the stage for revenue recovery in the second half of the year. Atlanta also receives a C rating with an improving outlook, with a projected 18,000 new jobs and finally, some relief on the supply front with only 2,900 completions, we look for revenue declines below what we experienced last year. In Charlotte, the worst is probably over. Job growth albeit modest returns in 2010 with 7,000 new jobs likely sufficient to offset 2,900 completions. We see Charlottte as a C market with a stable outlook. Tampa remains the weakest of our Florida markets. 2010 will see another year of job losses in the 15,000 range which along with a 3,000 completions will keep pressure on occupancy rates and rental rates. In Las Vegas, we see a few rays of light as we project an increase of 13,000 jobs and only 2,900 completions. This should allow us to limit our revenue declines to well below last year’s 7.2% while undoubtedly one of the most challenging markets in the country we rate Las Vegas as a C- with a stable outlook. And last again this year is Phoenix. Although this year ‘F’ is for finally, not for Phoenix. Last year, we gave Phoenix the only F rating in the history of our ratings game. However, we did see it as improving. As it turns out we were correct on both scores. The fundamentals in Phoenix were flat awful as reflected in our portfolio’s worst NOI decline at 14.9%. However, the rate of decline has decelerated and this year we rate Phoenix as a D market with an improving outlook. After two years of massive job losses, we project job growth of 34,000 this year and with only 2,000 completions, Phoenix will see an improvement in occupancy rates, which will limit further revenue declines to the 6% range. In comparing our 2010 outlook to last year, I think it’s notable that 11 of our 14 markets have a better rating this year than last. Only Houston, Dallas and Las Vegas have lower ratings. This is quite a contrast to last year when all 14 markets were rated lower than the previous year. However, this projected improvement comes from a very low base with the average rating of C+ up from last year’s portfolio wide rating of a C. Clearly, 2010 will be another very challenging year for our onsite team. Now, a few comments on our fourth quarter results. Sequentially NOI actually rose 2.6% from last quarter, but I don’t read too much into that as our revenues declined in every market. Good expense control discipline and some really good news on property taxes drove the positive NOI results. Average occupancy fell by 9/10% and rental rates declined by 1.6%. The 9/10% decline in occupancy is in line with our historical seasonal drop, but the 92.9% occupancy for the fourth quarter is roughly 1% below our historical occupancy rate for the quarter. We ended January at 93.3% occupied, which is only 40 basis points below our ten-year average occupancy rate for the first quarter, so we think we’re getting back closer to our expected occupancy rate. Our annual turnover rate declined from last year’s 63% to 58% which was in line with our expectations. We did see a spike upward in the percentage of move-outs to purchase homes from 13.8% last quarter to 15.6% in the fourth quarter. We believe that part of this increase is attributable to the tax credit which is set to expire at the end of the first quarter. In any case, the home purchase percentage for the year was 13.3%, still well below our 18% long-term average. Skips and evictions were roughly the same as last year but move-outs for financial reasons and job losses rose to 10.8% from 6.1% in the previous year. Turning to NOI guidance for 2010, we see revenues declining again roughly 3.25% at the midpoint, expenses up 2.75% at the midpoint resulting in a projected 7% NOI loss versus our 6% NOI decline last year. Adjusting operating expenses for the impact of cable TV and Valet Waste expenses, our operating expenses will have increased by 2% over the entire two-year timeframe or roughly 1% per year. In 2009, we faced some of the most challenging market conditions since the mid-1980s. In a hypercompetitive market, it is more essential than ever to provide the best possible customer experience. Reducing turnover by exceeding our resident’s expectations is absolutely critical again in 2010 just as it was in 2009. The best way to ensure a great customer experience is to maintain a motivated, engaged and happy workforce. To that end, I am pleased to report that Camden was named as one of the best places to work in the state of Texas and also in Charlotte, South Florida, Orlando, Tampa, Las Vegas, and Houston. In addition, for the third consecutive year, we were included on Fortune Magazine’s list of the 100 best places to work in America. This year we broke into the top 10, up from number 41 last year. To make this type of improvement in such a challenging year speaks volumes about the commitment Camden’s associates have to our company. Every one of our 1,800 associates can take pride in knowing that in one of the most difficult business climates in a generation they contributed to creating one of the ten best workplaces in this country. At this point I will turn the call over to Dennis Steen, our Chief Financial Officer.
Dennis Steen: Thanks, Keith. I will begin with a review of our fourth quarter 2009 results. Camden reported an FFO loss for the fourth quarter of $36.3 million or $1.19 per diluted share. Included in these results was an $85.6 million impairment loss on our announced reduction in development activities as detailed in our press release on February 2nd. Excluding this impairment loss, our FFO for the fourth quarter would have been $49.3 million or $0.71 per diluted share at the midpoint of our prior guidance range of $0.69 per share to $0.73 per share. Core results coming in at the midpoint of our guidance range resulted from property net operating income exceeding our forecast by approximately $2.2 million, offset by higher than expected G&A and property supervision expenses of approximately $1.1 million, and increased amortization of deferred financing costs of $900,000. The $2.2 million favorable variance in property net operating income for the fourth quarter was primarily due to lower than anticipated property level expenses. Property expenses were 2.1 million lower than anticipated due to $1.3 million in real estate tax savings, primarily driven by lower tax rates and valuations, which were finalized in the fourth quarter for our Texas and Florida markets, and an $800,000 positive variance in all other property level expenses, primarily due to lower utility, employee benefit, and property insurance costs. For all of 2009, same-store expenses increased 1.8% over 2008, significantly below our original 2009 guidance range of 5% to 6.25% due to real estate tax expense declining 2.3% from 2008 as compared to an expected 4.5% budgeted increase due to the success and achieving valuation reductions and lower than anticipated increases in tax rates. Additionally, we benefited from lower than anticipated utility rate increases and an increased focus by all of our communities in controlling discretionary expenses. Excluding the impact of expenses related to the continued rollout of our ancillary income initiatives Perfect Connection and Valet Waste, 2009 same-store expenses actually declined 0.1% from 2008. The $1.1 million unfavorable variance in total G&A and property supervision expense for the fourth quarter was due to approximately 600,000 in non-recurring separation costs related to the retirement of one of our executives with the remaining $500,000 unfavorable variance primarily due to an increase in compensation costs related to higher employee participation in our stock purchase program and increases in incentive compensation costs. The $900,000 unfavorable variance in deferred financing costs to our fourth quarter guidance relates entirely to the costs we incurred in the fourth quarter to extend the maturity date of our $600 million unsecured line of credit from January of 2010 to January of 2011. We decided to expense in the fourth quarter of 2009 all costs related to the extension versus amortizing these costs into 2010. Moving on to capital activities in our liquidity position, during 2009 we made significant progress in strengthening our balance sheet by raising $692 million in new debt and equity capital using the proceeds to pay down all balances outstanding on our $600 million line of credit and to repurchase and repay near-term debt maturities. At the end of 2009, we had approximately $64 million in cash and short-term investments on our balance sheet, full availability under our $600 million line of credit, which now matures in January 2011, and no significant funding requirements for our existing development projects. We have only two projects currently under construction. They will both be completed in the first quarter of 2010 with any remaining funding expected to come from existing construction financing. With existing liquidity of $664 million and capital markets which have improved substantially in the second half of 2009, we have confidence that we can retire or refinance our upcoming debt maturities, which total approximately 138 million in 2010 and 150 million in 2011. On January 15th, 55.3 million of our 2010 maturities came due and we retired these unsecured notes using available cash. Now I would like to discuss our 2010 guidance. Please refer to Page 28 of our fourth quarter supplemental package for details on the key assumptions driving our 2010 financial outlook. We expect 2010 projected FFO per diluted share to be in the range of $2.35 to $2.65 with a midpoint of $2.50 representing a $0.36 per share or 13% decline from our adjusted 2009 FFO per share of $2.86, which excludes the non-recurring 2009 impairment losses and losses on the early retirement and debt and after adjusting the 2009 fully diluted shares outstanding for the incremental full year impact of our equity offering in May of 2009. The major assumptions and components of our $0.36 per share decline in FFO at the midpoint of our guidance range are as follows. A $0.37 per share decline in FFO related to the performance of our 47,359 units same-store portfolio. As Keith discussed previously, we’re expecting negative same-store NOI performance of 5.5% to 8.5%. A $0.09 per share decline in FFO related to 6.5 million in lost interest and real estate capitalization on the eight development projects we recently put on hold. These two declines will be partially offset by an $0.08 per share increase in FFO related to lower interest expense resulting from lower average outstanding debt balances in 2010 as we use the proceeds of our $272 million equity offering in May to repurchase and retire debt throughout 2009 and into 2010, and a $0.02 per share increase in FFO related to an increase in non-property income due to a 2.6 million or $0.04 per share non-recurring gain we expect to record in the first quarter of 2010 related to a contingent liability established in 2006 for potential future real estate tax increases on assets we sold in 2006 out of our Midwest markets. The real estate tax increases did not materialize and we are now reversing our liability resulting in the gain. This gain is partially offset by reductions in interest income related to our mezzanine loan portfolio due to lower mezzanine loan balances outstanding and less interest income on cash investments as all proceeds from our equity offering in 2009 have now been used to repurchase retired debt. Page 28 of our supplemental package also details our expected ranges for acquisitions, dispositions and development activities. The midpoint of our 2010 FFO per share guidance range assumes the following for 2010. $50 million in both acquisitions and dispositions in the second half of the year, 350 million in acquisitions and our value-add fund, spread throughout the last three quarters of 2010, 75 million of new development starts late in the year, and our guidance does not include any further equity or debt issuances. Also, of note, total general and administrative and property management expenses for 2010 are expected to be between $48 million and $52 million with the midpoint of $50 million representing a slight decline from $50.1 million for the year-ended December 31, 2009. The slight decline is the result of no growth in recurring overhead costs and the fact that the $1.6 million in severance and retirement costs we experienced in the first and fourth quarters of 2009 was almost entirely offset by a reduction in the overhead costs we expect to capitalize to development projects in 2010. As a result of our recent decision to put on hold eight development projects in our pipeline, in 2010, we expect to capitalize 3.3 million in overhead costs to our existing development projects and development pipeline down from 4.8 million in 2009. For the first quarter of 2010, we expect projected FFO per diluted share to be in the range of $0.64 to $0.68 with the midpoint of $0.66 per share representing a $0.05 per share decline from the fourth quarter of 2009 adjusted FFO per diluted share of $0.71, which excludes the impact of the impairment losses. The $0.05 per share decline is primarily the result of the following. Lower projected first quarter same-store net operating income of $6 million or $0.09 per share. This decline is the result of a 2.1 million or 1.5% sequential decline in same property revenues due to the continued repricing of rental rates across our portfolio and a $3.9 million increase in same property expenses. The increase in expenses is due to fourth quarter of 2009 favorable variances in real estate taxes as we adjusted our full-year accruals for final 2009 tax rates and assessments and lower than anticipated fourth quarter employee benefits and insurance costs I mentioned earlier, plus growth in core expenses as we expect same property expenses to increase by 2.75% in 2010 over 2009 at the midpoint of our guidance. Additionally, we expect lower capitalized interest and capitalized real estate taxes of approximately 1.6 million or $0.02 per share as we have discontinued the capitalization of costs to the eight development projects we recently put on hold. The above two negatives are partially offset by a 2.5 million or $0.04 per share increase in non-property income primarily due to the gain I mentioned earlier related to the final resolution of real estate tax contingent liability on previously sold assets, a $700,000 or $0.01 per share reduction in interest expense resulting primarily from the retirement of the 55.3 million or 4.39% unsecured notes which matured on January 15th of 2010. We used available cash to retire these notes. And lastly, a $900,000 or $0.01 per share reduction in the amortization of deferred financing costs due to line extension costs which we recorded in the fourth quarter of 2009. At this time, I would like to open the call up to questions.
Operator:
 :
Alexander Goldfarb - Sandler O’Neill: Good afternoon or good morning. A question on the development versus acquisitions on a go-forward basis. Just given the level of write-downs, have your thoughts changed as far as weightings of either developments or acquisitions for external growth and then has that changed your return thresholds or the spread that you need between the two?
Ric Campo: No, not really. The development starts, we talk about the development starts weighted to the back half of the year, so we have not decided to start any new developments at this point. We’re going to wait and see how the year unfolds. If it unfolds better than expected or unfolds in the way we think it might which is a better second half and a more firming in the economy and actual job losses cease and actually start, we perhaps will start developments at the end of the year. As far as the spread goes, I still think you need a reasonable spread of 100 basis points to 200 basis points between an acquisition and a development. Today, the real challenge, though is when you look at acquisition cap rates, they clearly have been compressed in the last 120 days compared to what they were before, but again we’re also talking about very limited acquisitions out there, so the comps that you’re seeing are very few deals, so, on one hand I don’t know what cap rates will do this year, but clearly, you need a risk premium for development over acquisitions.
Alexander Goldfarb - Sandler O’Neill: And then the follow-up question to that is on the acquisition front, have you noticed any difference between the large, like mega cap banks versus the regionals versus the community banks in their willingness to do deals on troubled real estate?
Ric Campo: The regionals do seem to be a little bit more aggressive on and focusing on their issues than the larger ones. We have been in contact with any major banks or regional banks that would listen about trying to acquire debt or directly acquire short sale type transactions and I would definitely say regionals are more talkative today even though there hasn’t been a great deal of transaction volume at least they’re having conversations.
Alexander Goldfarb - Sandler O’Neill: Thank you.
Operator: Our next question comes from David Toti of Citigroup.
David Toti – Citigroup: Hi, everybody. Just going back to the acquisitions, Ric, can you walk us through what some of the acquisitions might look like in the joint ventures? That volume was quite a bit larger than what you’re projecting on balance sheet, and I am just wondering what the differences might be?
Ric Campo: The differences in the type of acquisitions?
David Toti – Citigroup: Yes, is there any quantifiable difference between the types of assets you look at, the types of deals that you would accept and maybe the regional footprint?
Ric Campo: No, there really isn’t any difference. Our acquisition activity is going to be primarily in our fund. And it’s going to be located in our four markets within the type of assets we have in our markets, that we have in our core, which include anywhere from solid B properties all the way to new developments.
David Toti – Citigroup: What kind of properties in terms of the span, you just mentioned assets and developments; would you consider broken deals or land? How wide is that spectrum of assets to consider?
Ric Campo: The spectrum of assets is pretty wide, but we would clearly look at land. We would also clearly look at some busted transactions. We probably aren’t going to spend a great deal of time with half condo versus rental type properties just because the complexities of operating those properties with the existing condo owners in an apartment scenario, but we would deal with one that is maybe have limited sales and not necessarily where you have just really depends on the deal, but we would look at broken deals, no question.
David Toti – Citigroup: And my follow-up question and this is something you get asked I think on every call. Could you just update us on any recent discussions you have had with the GSEs relative to appetite, their view, and any changes in underwriting?
Ric Campo: We continue to have a very close contact with GSEs. There’s a pretty decent article in the Wall Street Journal today that went through the state of the GSEs in terms of the government not really doing anything yet. One of the things they pointed out in the article which was instructive I think was the idea or the fact that in the Obama 2010 budget going forward there was one sentence dedicated to the GSEs, but we see the GSEs continuing to be an active player in multi-family. While they have tightened their underwriting, they still provide capital in the 5.5% range and will continue to do so. One of the interesting things is that their volumes are down significantly in terms of volumes of new loans, down significantly from 2009, and their budgets are down somewhere in the 20% to 30% below the originations that they had in 2009 primarily because most of the REITs have finished their refinancings and the spread between the unsecured debt market and the agency market has tightened dramatically. And so you have a situation where the agencies are actually having to move into more single asset transactions and more private entity transactions as opposed to the public companies. They love the public company business because they’re the best capitalized investment sort of borrowers in America really. So I think that’s kind of interesting is that their volumes are actually down and falling not rising.
David Toti – Citigroup: Great. Thanks for the detail.
Ric Campo: Sure.
Operator: Our next question comes from Dave Bragg of ISI Group.
Dave Bragg – ISI Group: Hi, thank you. Just a couple of specific questions on guidance and also 4Q. Can you tell us what the same-store revenue expense and NOI numbers were if you removed the impact of cable TV and Valet Waste programs both in 4Q and looking forward in 2010?
Keith Oden: Yes, David, for 2010, it is roughly 60 basis points on the expense side, and where as before we have broken that out, we think that now that it is under 1% differential and really we’re very close to being completely rolled out in both of those programs that it was probably less confusing to people to not break it out separately, but in 2010 it’s roughly 60 basis points.
Dave Bragg – ISI Group: That’s just on expenses?
Keith Oden: Correct.
Dave Bragg – ISI Group: Okay. And then just on 4Q ‘09?
Keith Oden: On NOI? The differential, it’s 8/10 of a basis point, something like that, or 8/10 of 1%. So, for full year 2009, we were in the 1.5% range, and it rolled down throughout the year 8/10 in the fourth quarter and for 2010 6/10.
Dave Bragg – ISI Group: That helps. Thank you.
Keith Oden: You bet.
Dave Bragg – ISI Group: And the follow-up question is just could you walk through the major items in operating expenses, talk about the outlook there specifically real estate taxes?
Keith Oden: Yes. In terms of operating expenses, we think that property taxes are probably going to be up in the 1.7% range in 2010. Again, that’s one of the biggest differentials we had, and in 2009 versus our original guidance was some positive news on taxes. We ended up basically flat for the year in 2009. We think we’ve modeled at least anyway on our forecast about 1.7% increase. We got utilities up next year in the roughly 3.7% and again those are really just from having conversations with all of the utility providers as to what they think the increases are going to be, so that’s a pretty big number. And then third repair and maintenance, we are roughly up 1.4%. Salaries up 2% for the year. As you all probably remember we had a salary freeze in all onsite as well as our corporate positions in 2009. We are assuming a 2% increase in salaries at the site level, so if you just take the property taxes, utilities, R&M and salaries, you’re dealing with somewhere in the range of 80% of all of our operating costs that those numbers work out to about a little bit less than a 2% increase, so all other factors get to you the 2.75 at the midpoint and just again to recap, 2.75 at the midpoint adjust that for the Valet Waste and cable expense gets you closer to the 2% range. We ended up actually a little bit slightly negative on total operating expenses in 2009, so, sort of take 2009 and combine it with 2010, you’re up 2% over the two-year period or 1% a year.
Dave Bragg – ISI Group: Just back to my original question there to tie it together. What’s the revenue impact from the Valet Waste and cable TV? So if I take expenses down 60 –
Keith Oden: About 30 basis points.
Dave Bragg – ISI Group: Got it. Thank you.
Keith Oden: You bet.
Operator: Our next question is from Michael Salinsky of RBC Capital Markets.
Michael Salinsky – RBC Capital Markets: Good morning. Can you just talk a little bit about January trends thus far? Certainly, your peers have mentioned January is showing significant improvement. Just curious if you guys are seeing the same thing?
Keith Oden: I think significant improvement would be an over statement, but we have seen improvement. Our traffic levels were a little bit better than we expected them to be in January, the result of which is our least percentage ticked up pretty nicely and at the end of January we closed out right at 93.3% occupied. Our portfolio has a seasonal swing in it of about 1% to 1.3%. Historically, so, if you sort of go back and look at first quarter occupancy levels for the last ten years, 93.7% is where that comes out. We ended January at 93.3%. There was a little ramp up to get to that from the beginning of the year. If that continues, I think we could see the first quarter being 93.5% range, something like that, which again relative to historical, our portfolio numbers is really not that far off. Now, looking back into the fourth quarter of last year, we had a 1% decline over the third quarter. Again, that would be as expected. What wasn’t expected was the 92.9% average occupancy rate. That is about 1% below our ten-year historical average for the fourth quarter. So, no question in the fourth quarter we were below our long-term average in that regard, but a lot of that has to do with just where you are and what your pricing strategy is, and we think that from our perspective, sitting with the 93.3% occupied kind of staring at our markets over the next 11 months, I would much rather be in a position of trying to rebuild 1% occupancy or 1.5% occupancy in order to make our numbers, which is basically what we have to do versus having to raise rental rates 1.5% to get there. And so part of this is, as we talked about in the third quarter last year, we consciously made a decision and we tweaked our revenue management program to allow for a little bit lower occupancy because the model was we thought was overly penalizing market rates, and if you go down that trail, you get to live with that for the next 12 months. And we were just not willing to do that. So I hope that gives a little bit additional color there.
Michael Salinsky – RBC Capital Markets: The additional color is greatly appreciated. And then just on the refinancing front there, just curious as to what your plans are for the joint venture maturities in '10? Seems like you have a pretty sizable maturity log there.
Ric Campo: Right. We are working on those at this point. We’re either going to refinance them with agency debt or extend them with existing lenders and we feel comfortable being able to handle those maturities without any trouble.
Michael Salinsky – RBC Capital Markets: Thanks, guys.
Operator: Our next question comes from Rich Anderson of BMO Capital Markets.
Rich Anderson – BMO Capital Markets: Good morning, folks.
Ric Campo: Hello. Good morning.
Rich Anderson – BMO Capital Markets: So on YieldStar what is your rate of rejection right now? In other words, how often are you saying no to whatever suggested rent that pops out?
Ric Campo: That’s a really good question, Rich.
Rich Anderson – BMO Capital Markets: (inaudible)
Ric Campo: (inaudible). I’m going to have to get back to you.
Rich Anderson – BMO Capital Markets: Would your sense be that you’re rejecting more and that in a down cycle maybe YieldStar isn’t quite as useful as it is on an up cycle?
Ric Campo: No. I think my sense is that cancellations and rejections really hasn’t moved a whole lot. And by the way, this is really not YieldStar. This is our set points for our acceptance or reject as a credit quality issue and is really not related to YieldStar, but we’re constantly reviewing at the site level through our district managers what those set points should be for whether you have a rejection or not.
Dennis Steen: Is your question about YieldStar and whether we’re rejecting the rental rate it is saying or whether we’re rejecting somebody based on credit?
Rich Anderson – BMO Capital Markets: No, rental rate.
Dennis Steen: Whether we’re accepting the YieldStar model or not?
Rich Anderson – BMO Capital Markets: Yes, correct.
Dennis Steen: I would say on that it is fairly low because the reason is if you’re not accepting what your model says, then why do you have a model?
Rich Anderson – BMO Capital Markets: Right. But I thought I recall the rejection rate was starting to move up.
Keith Oden: Rich, I am sorry, I was going on the other trail on acceptance or rejections of residents. Within YieldStar, we did in the second quarter of last year, we did start seeing more recommendations out of YieldStar to do pricing decreases that we, as a management team, and our pricing group thought were not warranted, and again gets back to the logic within the YieldStar model. It hates vacancy and we had set our vacancy targets relatively high trying to push -- maintain occupancy. But you end up actually going the other direction on total revenue because it starts really aggressively reducing rent, so yes. In the second quarter of last year, we were seeing more of that. One of the tweaks that we made during the year was adjusting the occupancy targets within the model, and right now we’re not seeing any greater level of rejections of pricing. All of those, if it falls outside of an anticipated range, then it has to go for further review and approval and those are not any higher than they were before we started adjusting the set points in the second quarter.
Rich Anderson – BMO Capital Markets: And my follow-up, I guess, is completely unrelated question is, we were looking at just a little bit of extrapolation of Florida Power & Light Company, a public company, FPL has been pointing to some increased activity, they are obviously a Florida utility, and I was wondering, and that could be considered an early signal that things are starting to recover in the state of Florida. I was wondering if you look at anything like that and if you while you might be having still some lingering problems in Tampa and elsewhere in the state, if you think that the turnaround in Florida could be sooner rather than later despite your comments for 2010?
Dennis Steen: Rich, we spend a lot of time thinking about Florida Power and Light and all other light companies, but it’s primarily in regard to what their rate increases are going to be, which has been ridiculous over the last couple of years. It’s been one of our biggest challenges in managing operating costs has been utility costs, not just electricity, but gas as well as water. But in all candor, that’s not something that we’re looking at or trying to figure out whether conditions are improving in those markets, but I will say that if you think about our ranking this year, Southeast Florida and Orlando have moved up into the top half of our portfolio. We think Tampa is going to be a laggard within our portfolio in the Florida markets, but Southeast Florida came in at number five for the year, B- and stable, and by the way that was an upgrade from last year as a D stable. Orlando is B- and stable and that was an upgrade from C- and stable, so relative to the prior year, I think those markets have shown some pretty decent potential for recovery in 2010.
Rich Anderson – BMO Capital Markets: Okay. Fair enough. Thank you.
Operator: Our next question comes from Michelle Ko of Bank of America/Merrill Lynch.
Michelle Ko – Bank of America/Merrill Lynch: Hi. You mentioned earlier that you thought we were a little more past the halfway mark in the downturn. I was just wondering if you could tell us a little bit more about what gives you confidence that that’s the case when 4Q same-store revenues declined the most in '09 and are you seeing some encouraging signs in January and February in particular markets where rental rate declines are lessening? If so, which markets?
Ric Campo: The key concept on being more than half way through is really what’s happening to jobs. If you take just look at the jobs and how the progression of job losses unfolded last year and if you go six months back, say, six months ago you had a whole lot more job losses than we had in January, and so as the job picture improves, our business improves, but it takes about six months to work through that system, so when you look at the progression, that’s why I think we believe that you’re half way through or more than halfway through, and we are seeing some positive signs on rental increases and the gap between in place rents and certain markets like South Florida is a great example. Keith, you can add to that.
Keith Oden: Michelle, I think Ric’s point is the macro point on the jobs is really crucial because we think we’re at an inflection point or will be within the next couple of months on job losses versus job creation. Our forecast is 700,000 jobs for the entire year, and that’s what we have kind of modeled our results around. And to kind of put that in context, 700,000 for the year, that’s roughly what we lost in one month in January of 2009, so there is a lag to that, but we are beginning to see improvement and it shows up primarily in our world and looking at the change in new leases, which is kind of real time data over in place leases. And for the month of January we had the lowest gap in the last twelve months, a gap to new leases versus in place leases at roughly 4.6%. That number has been as high as -- in our portfolio in '09 that number got as high as 7%, 8%, so that’s an encouraging sign. The other is that we continue to be able to renew leases at higher than in place rents. In January, our renewals were actually 1.4% better than the in place rent, so the more you see that and as you look at our budgets for 2010, you do start to see in certain markets where on a gross potential rent basis we actually start seeing increases year-over-year. Now, portfolio wide, we’re still not going to, we know we’re projecting revenues down 3.25 at the midpoint, so we’re going to continue to make progress on that. We won’t turn positive portfolio wide on a month over month basis looking at it over 2009, but we get pretty close by the end of the year, so I think the 4.6 and the 1.4 give us some sense that as you look backward and see where you were or where we were in terms of year-over-year progressions, it is getting better. We just got a long way to go.
Michelle Ko – Bank of America/Merrill Lynch: Okay, great. And just as a follow-up, you mentioned South Florida was improving. Are there any other markets that you see improving dramatically?
Dennis Steen: Again, those dramatic words, I always drop all of those. I don’t see any of them improving dramatically. Clearly, in our world, we think DC is fairly constructive for us; job growth is going to kind of overtake what little small amount of supply there is. Denver still looks like it’s going to be a decent stable market for us, some job growth and minimal completions. I think as you look at two big pieces of 2009 versus 2010, in 2009, we lost a million jobs plus or minus across our portfolio. In 2009 we had completions that were roughly four times the level of what we’re going to see in 2010. Fast forward to 2010, instead of losing a million jobs, we think we’re going to gain 145,000 jobs in our markets and we know that the completions will be roughly 25% of what they were last year. So those two things just -- we don’t operate in a vacuum, but knowing those two pieces of information and the impact that it has on our ability to stabilize occupancy and raise rents would tell you that 2010, we should be on a road to a really nice recovery in occupancy in rents in 2011.
Michelle Ko – Bank of America/Merrill Lynch: Okay. Great. Thank you.
Dennis Steen: Thank you.
Operator: Our next question comes from Michael Levy of Macquarie.
Michael Levy – Macquarie: Thank you. As a follow-up to Alex and David’s questions about the acquisition activity, have you guys made any bids for any assets as of yet?
Dennis Steen: Yes, absolutely. We just haven’t bid high enough.
Michael Levy – Macquarie: So what do you think is going to change that would make it more likely for you guys to acquire assets in the next couple of months? Are you at all concerned that the market will remain too aggressive for asset acquisitions or will there just be better pricing on assets or more availability of assets?
Dennis Steen: I think there will be more availability of assets. I think that sellers, property sellers I think are going to be under more pressure to sell, and I do believe that over time as rents continue and NOIs continue to roll down, that sellers who do want to enter the market are looking at pretty good cap rates. So I do think that the volume will increase in terms of the properties that are out there. The real key thing from our perspective is making sure we’re patient and we’re trying to focus on transactions that are either off market or where we can buy the debt or we can come up with some strategy where we’re not number 40 bidder on an asset, and trying to create value by doing something a little more complicated or what have you. And so, I do think there is going to be more supply in the acquisition market and I do think there will be opportunities. But again we’re going to be patient, we didn’t buy anything in 2009, and I think the key to this market is, when we think about the volume of loans that have to be refinanced over the next three years, it’s like $200 billion in multi-family financing that has to be done. And I think that’s going to create an opportunity over the next couple of years. Now, may not be in the first quarter or second quarter, but I do think there is going to be opportunity.
Michael Levy – Macquarie: That’s helpful. Thanks. Just as a second question, the range that you gave for the same-store NOI decline, would it be right for me to assume that the 700,000 net job creation over the course of 2010 would put you at the midpoint of that range?
Dennis Steen: Yes.
Michael Levy – Macquarie: So what happens if the net number of jobs created is basically zero? What type of same-store NOI decline might we be looking at?
Dennis Steen: The 700,000 represents nationally about 0.5% job growth. Job growth is going to be somewhere between the midpoint and the bottom. I think the bottom of the range is probably a job loss, and the top of the range is better than 0.5.
Michael Levy – Macquarie: That’s very helpful. Thank you very much.
Operator: Our next question comes from Paula Poskon of Robert W. Baird.
Paula Poskon – Robert W. Baird: Thanks very much. Good morning, everybody. Given your view on DC, could you provide a little bit more color on the submarket dynamics you saw that led to the decision of putting the South Capital project on hold and I suppose likewise on Andra in Houston?
Ric Campo: The South Capital project putting on hold was a direct function of three additional developments that were being built by JPI in the sub market and currently those properties are in lease up and are generating somewhere in the two to three months free range, so when we saw those markets, those properties coming out of the ground and then we felt the sort of uncertainty in the marketplace where respect to capital, keep in mind we stopped that project in May of 2007, so, we were worried about the development market beginning in the first half of 2007. We didn’t think that we clearly didn’t want to deliver with that competition in the marketplace and it was the right decision. The property itself or the location is a great location, and the market keeps getting better over time, and we will ultimately build that project, but it was the right decision to make at the time. As far as Andra airport in Houston, we have a second phase of our age restricted property that’s included or age restricted project that’s included in our five shovel ready projects today and we’ll be evaluating when we start that perhaps at the end of the year. We do have another development site there as well, but it’s likely to be -- given Houston’s supply issues, it’s liable to be a 2011 or '12 transaction.
Paula Poskon – Robert W. Baird: Just to keep on the DC theme for a minute with my obvious preoccupation on it, can you quantify what the severe weather impact was on the fourth quarter operating expenses and likewise have we already blown through the operating expense budget here in guidance for the first quarter considering what were happening in real time?
Keith Oden: We had roughly 100,000 in snow removal in the fourth quarter. Right now if you look at what that was versus what we’re dealing with right now, there is no question that there is going to be some expense impact in our DC communities. We still have communities that we’re wrestling right now getting access and getting people to get in and out, so it’s a major deal. And our Regional Vice President, our Divisional Vice President is up to his hips in snow right now, in fact, he canceled his attendance at our annual leadership meeting because he is there with the troops trying to make sure that we’re doing everything we can for our residents. Yes, there will be a financial impact. Little bit too early to tell.
Paula Poskon – Robert W. Baird: Thanks. And I think I missed your letter grade on Tampa.
Keith Oden: Tampa was C and stable.
Paula Poskon – Robert W. Baird: Thank you very much.
Keith Oden: You bet.
Operator: Our next question comes from Andrew DiZio of Janney Montgomery Scott.
Andrew DiZio – Janney Montgomery Scott: Thank you. Keith, you talked about move-outs to home purchase in the quarter. Can you comment on which markets those move-outs on home purchase were most acute?
Keith Oden: I just give you the ones that, Colorado at 25% which is Denver, DC at 22%, Raleigh at 22%, and beyond that Charlotte is at 17. Beyond that you’re below our historical 18% mark in virtually every unit. All of that rolls up and I am giving you the fourth quarter, 15.6%. So those were the ones kind of outliers on the upside. And I think that it will be interesting to see I think we got one more quarter of probably a really large spike in the move-outs relative to what the run rate has been. I think it will be very interesting to see what happens in the second quarter as the tax incentive rolls off. I believe we’re going to roll back down from the levels that we ended the year at and sort of slog along in the low teens throughout 2010.
Andrew DiZio – Janney Montgomery Scott: Thank you.
Keith Oden: You bet.
Operator: Our next question comes from Jay Haberman of Goldman Sachs.
Jay Haberman – Goldman Sachs: Hi, everyone. Just a question. I know, Ric, you talked about still evaluating some starts towards the end of the year. I guess it sounds like you’re still going to look at market fundamentals and consider that investment. Has your view changed broadly, though on the pace of the recovery given that there is still a lot of single-family overhang and the job growth outlook still looks fairly soft?
Ric Campo: No, not really. I think we’re pretty much where I thought we would be. When you look at this cycle compared to last cycles, our fundamentals have held up incredibly well relative to what you would expect with 8 million jobs being lost. So I feel very good about 2010 and what you have now is basically a roll down of existing rents and the first half is going to be influenced by the last half of 2009 and as long as we keep these numbers going in the right direction in terms of jobs, not losing a lot more jobs and having consumer confidence rise and all of the basic things that should keep the economy going forward, I feel pretty good about 2010. The real question will be do you have an inflection point in the second half of the year and do we really start seeing that gap between in place rents and street rents or the new rents really narrow as it’s been narrowing? Does it continue that trajectory and then do we actually get a positive number there. To me that’s what we have to see before we would commit capital to start new deals is that inflection point, and I don’t think there is any rush to start new deals because in terms of development because there is not going to be any merchant builders starting new development, and we’re going to be at historical lows from a star perspective for at least the next two years or three years.
Jay Haberman – Goldman Sachs: So based on current rents and I guess the current land prices where do you see development yields today?
Ric Campo: I think the development yields are going to be somewhere in the -- depending on where you are 7.5 to 8.
Jay Haberman – Goldman Sachs: Okay. Thank you.
Operator: Our next question is from Dustin Pizzo of UBS.
Dustin Pizzo – UBS: Hi, thanks, guys. Ric, just to follow-up on your last answer and one of Keith’s prior answers, I just want to make sure I heard you guys correctly that your expectation despite talking about a potential inflection point, your expectation that year-over-year rental rates won’t turn positive for the portfolio as a whole in 2010 would suggest very much that we will be talking about negative same-store revenue growth into the next year?
Kevin Oden: I think if the progression continues, it’s unlikely you’ll be talking about same-store revenue growth in 2011, because by the end of 2010, we’re very close to still slightly negative but very close to year-over-year portfolio increases.
Dustin Pizzo – UBS: Okay. Thank you.
Operator: Our next question is from David Toti of Citigroup.
Michael Bilerman – Citigroup: It’s Michael Bilerman speaking. Ric, I don’t know if you want to talk a little bit about this whole aspect of looking back the last couple of years and knowing that you guys were first to get hit from a revenue and same-store perspective in '08 relative to your peer set given the markets that you were in, an element of being the weakest in, strongest out, your WISO , I don’t know how you want to pronounce it, almost like a FIFO concept, '09 you sort of came in basically just below the peer set from same-store and the guidance for 2010 is just below, so I guess at what point do you start thinking about the turn and how strong that turn may be relative to the other peer set companies?
Keith Oden: Your math is correct. We were slightly below the peer set in ‘09. Guidance for below the average, by the way, not below the bottom, the average of the peer set. 2010, we’re again slightly below the average of the peer set. We got a bunch of people that are worse numbers than we are and a couple of people that have better numbers than we have for 2010. But if you take a higher numbers at a 7% down NOI, one of the advantages of doing this gig late in the cycle is you get to see everybody else’s numbers and compared to the peer set, the peer set is down 6% on NOI projections for 2010. We’re down 7% at the midpoint of our guidance range, so in any case, the jury on WISO versus FISL is out until 2011 because no one is going to see a recovery in 2010 based on the guidance numbers I have looked at. So go back to what I said previously. I think you will have to wait and see how it plays out in 2011 when we’re in a market that, A) is creating jobs in a meaningful amount which we think will be the case in 2011 and the impact, the disproportionate impact of where those jobs gets created, which we continue to believe will favor Camden’s markets and the effect that that will have on the operating fundamentals. And I think the truth of the matter is you’re going to have to wait until 2011 to call a victory lap on either FISL or WISO.
Michael Bilerman – Citigroup: Right. And then I guess if we looked at it just from a cumulative compound perspective from '08 to '10, your NOI would have been down about 13%, your peer set’s down about 9%, and so the question is, is the 2011 recovery going to make up more than that difference or not if you looked at a four-year cumulative period?
Keith Oden: Again, I wouldn’t stop the clock in 2011. I think you have to go through the entire cycle of recovery, which will be 11, 12 and 13. By the way, you can go back and do the math on this, if you go back to the last two cycles and do the same math that you’re doing on a cumulative basis and we had a slight out performance on a cumulative basis, lower at the trough, higher at the peaks, but a slight out performance, so I still think that you have to look at this in the context of a cycle and recovery and we still believe that our markets are going to outperform in 11 and 12.
Ric Campo: Just to give you a sense, in 2006 we were the second best NOI growth in 2006 and the best was AIMCO, but they had a pretty tough 2005 from a comp perspective. If you look at 2006 and 2007, the WISO markets produced a total increase in NOI in '06 at 8.6% and in '07 at 5.1% for a total of 13.7% in the two years after the recession of the early part of the decade. So some of these markets came up dramatically like Arizona, for example, in 2006 Phoenix was beat up pretty bad in the last cycle, went up 16.6% in NOI in 2006. 2007 was up 3.8% in NOI, you had a 20% increase in Phoenix NOI from the snap back in the last cycle, so obviously WISO is something we have looked at a lot and talked about. When you look at why that happens, it’s because those markets have the benefit of low taxes, lots of educated people, low housing costs, and this recession has improved their competitive set relative to the markets that feed these markets like California and other markets like that, so we still think WISO makes a lot of sense.
Keith Oden: So to sum all that up, we think it’s too early to call FISL and to quote Boone Pickens, if you don’t rush the monkey, you will get a better show.
Michael Bilerman – Citigroup: Okay. We’ll stick with that. In terms of just a follow-up, on the occupancy, just going back to maybe Rich’s question, your occupancy sequentially dipped about 90 basis points. I guess you look at the peer set, it appears as though occupancy was held better in the fourth quarter. I guess was there anything on rate where if you would have given up more on rate you would have had a more flattish occupancy or you’re really holding the line more so on rate these days?
Keith Oden: Our seasonal decline, if you go back ten years and look at over ten years, we declined about 1% from third quarter to fourth quarter, so that’s not unusual in anyway. The 92.9% absolute rate is about a percent below where we would expect to be or have been on average in the last ten years, so that’s a little bit different. The answer to the question of could you give up rate and buy occupancy? The answer is absolutely, yes. The simplest thing to do in this business is to get occupancy if you’re willing to do that at any price, you can make that happen immediately, but you ultimately pay a significant price for it down the road as you’re stuck with those leases for 12 months. I always tell the simple way to think of it is this. If we collectively were to do something as stupid as put out as edict that said that every community manager who is not 96% occupied 30 days from today is going to be terminated, our portfolio would be 97% -- and with no constraints, do what you need to do to get there, our portfolio would end up at 97% occupied and we may have given away 20% of rent that we didn’t have to. So it’s the easiest thing in the world to say, I’m going to hit an occupancy target irrespective of what I have to do on price. I am not suggesting any of our competitors did that, I am just saying that that’s not the way we look at it. We would prefer to manage our occupancy by making small adjustments to rent in consideration of all the things that are going on in the submarket and the fact that we are 100 basis points below our competitors on the fourth quarter we can live with that as long as we’re doing the right things and maintaining our rent roll appropriately because ultimately we’re going to get that occupancy back, it’s just a matter of over what period of time. It’s a different story on rental rates in a challenged market, but we’ll get the occupancy back.
Michael Bilerman – Citigroup: Great, thank you.
Keith Oden: You bet.
Operator: Our last question comes from Michael Levy of Macquarie.
Michael Levy – Macquarie: My questions actually were answered. Thank you.
Operator: This concludes today’s question and answer session. I would like to turn the conference back over to the speakers for any closing remarks.
Ric Campo: We appreciate your being on the call and we will talk to you at the next call or if not before at some of these conferences. Thank you.